Operator: Good afternoon and welcome to B. Riley Financial's Second Quarter 2021 Earnings Call. Earlier today, B. Riley issued a press release and presentation detailing its financial results for the second quarter. Copies are available in the Investor section of the company's website at ir.brileyfin.com. As a reminder, today's call is being recorded. An audio replay will also be available on the company's website later today. Joining us today from B. Riley are Bryant Riley, Chairman and Co-Founder and Co-CEO; Tom Kelleher, Co-Founder and Co-CEO; and Phillip Ahn, CFO and COO. After management's remarks, we will open the line for questions. And before we conclude today's call, I will provide the necessary cautions regarding forward-looking statements. I will now turn the call over to Mr. Bryant Riley. Mr. Riley, please proceed. 
Bryant Riley: Thanks. Welcome everyone. I'll start with a brief overview on the current state of our business and where we see opportunities ahead. Phil Ahn, our CFO and COO, will cover key financial metrics, and then our Co-CEO, Tom Kelleher, will share more detail about our individual business units. For the second quarter, we reported total revenues of $336.8 million and total adjusted EBITDA of $124.9 million. Our solid performance demonstrated continued strength from across our businesses with operating revenues and operating EBITDA doubling on a year-over-year basis. Over the last few years, we have worked to establish a steady base of recurring revenue businesses with enhancements to our consulting and appraisal, wealth management, brands, and principal investment businesses. Together, these steady state businesses generated revenues in excess of $135 million during the quarter and continue to provide steady EBITDA and cash flow for our overall platform. Enhancing the results from our steady businesses is the earnings upside created by investment banking, which has benefited from momentum in capital markets and our liquidation business, which continues to be profitable in spite of the slowdown in retail bankruptcy filings. At the same time, we continue to leverage our platform to source opportunistic investments that are extremely proprietary to B. Riley. This strategy has delivered value not only to us but to our partners and shareholders and we are seeing more and more of these types of opportunities than we ever have. As we continue to invest in further enhancing our platform, we are always on the lookout for complementary businesses that can expand our reach and market share. A recent example of this is our acquisition of National Holdings, which we will continue to integrate into our business. We're extremely pleased with this team of talented professionals and similarly, our new colleagues are appreciating the breadth of product that our platform offers. And expanding our platform, both through key hires and acquisitions, we've also created increased synergies and cross-selling opportunities. Importantly, our diversified business model continues to deliver for us and our stakeholders and we believe, there will be more opportunities for us to capitalize in the near future. We are often asked if there are any gaps in our business and asset management and the build-out of fixed income continues to be a key focus for us as a natural complement to our existing businesses. We will continue to take advantage of market opportunities in our core segments, while seeking to establish additional recurring revenue streams that are both noncorrelated and counter cyclical. Taken together, our platform strategy has allowed us to build a solid balance sheet and lower our cost of capital, while enabling us to return $8.50 in common stock dividends to shareholders over the last three quarters. As always, our number one focus is performing for our employees, clients, partners, and our shareholders. And as we look ahead, we continue to see multiple pathways to grow shareholder value. With that, I'll turn the call over to Phil Ahn to discuss some financial metrics from the quarter. Phil?
Phillip Ahn: Thanks Bryant. On a consolidated basis, B. Riley reported total revenues of $336.8 million for the second quarter, which represents a year-over-year increase of 26% compared to $266.5 million for the prior year period. Net income available to common shareholders was $73.9 million or $2.58 per diluted share. This compares to $82.8 million or $3.07 per diluted share in the prior year period. Our second quarter results included operating revenues of $304.1 million, which was up 100% year-over-year and operating adjusted EBITDA of $92.1 million, which was up 97% year-over-year. Our strong operating results were further enhanced by our second quarter investment gains of $32.7 million, which relate to both realized and unrealized gains in our investments. In terms of our reportable segments, capital markets is our largest segment and includes our investments and operating results from investment banking, institutional brokerage, and our fund management businesses. Excluding our investment gains, operating revenues for our Capital Markets segment increased to $151.5 million for the quarter, up 78% year-over-year. Segment operating income was $74.7 million, up 153% year-over-year. Our Wealth Management segment revenues increased to $90.3 million compared to $15.8 million in the prior year period. The majority of this increase was due to the addition of National Holdings for the full quarter, which we acquired in February of this year. Auction and Liquidation revenues increased to $17.3 million, up 109% year-over-year, and segment income was $3.6 million. Financial consulting revenues increased to $23.7 million, up 26% year-over-year and segment income was $4.2 million. Our principal investment companies, magicJack and United Online contributed revenues of $19.6 million and segment income of $7.3 million. And lastly, our Brand segment generated revenues of $4.4 million and segment income of $3 million related to the licensing of brand trademarks. As a reminder, adjusted EBITDA in our metrics for operating and investment results are non-GAAP financial measures. For a definition of these terms and for reconciliation to the nearest GAAP measures, please refer to our earnings release. Additional details related to our operating metrics can also be found in the financial supplement to be located on our Investor Relations website. Now, turning to our highlights from our balance sheet. At June 30th, B. Riley Financial had $297 million in unrestricted cash and cash equivalents, approximately $1 billion in net securities and other investments owned and $266 million of loans receivable net of loans participations sold. At quarter end, we had total cash and investments balance of approximately $2 billion, which includes approximately $53 million of other equity investments included in our prepaid and other assets. Net of debt, B. Riley Financial's cash and investments totaled approximately $568 million at June 30th. In terms of other recent developments, in June, we closed a $280 million senior credit facility, comprised of a four-year $200 million term loan and an $80 million revolver. And earlier this week, we completed the full redemption of our 7.25% senior notes due 2027 for approximately $125 million, including accrued interest. These activities are consistent with our goal to lower our cost of capital, while augmenting our capital base as we continue to pursue multiple opportunities and seek to grow shareholder value. To that end, we declared a total quarterly dividend, $2 per common share. This includes our regular $0.50 quarterly dividend and a special dividend of $1.50. The quarterly dividend will be paid on or about August 26th to stockholders of record as of August 13th. That completes my financial summary. And now, I'll turn the call over to our Co-CEO, Tom Kelleher, to share a few quarterly highlights from our individual operating units. Tom? 
Tom Kelleher: Thanks Phil. I'd like to start by recognizing the ongoing efforts and dedication of our people. Our continued success is due to the exceptional team of professionals across all of our operating groups. In terms of highlights from our individual businesses, our strong quarter was driven by several significant investment banking transactions, including what we call platform deals or those that involve multiple parts of our business. As Bryant noted, capital markets' momentum contributed to the quarter with particular strength in our ATM and SPAC businesses. We continue to see an expansion in the number and type of companies that select B. Riley for their capital raising needs, be it with our ATM group or in a more traditional form. And while the SPAC market saw a pullback during Q2, our SPAC business continues to be robust, with several of our issuers actively pursuing targets as well as multiple new mandates in the pipeline. A few noteworthy transactions completed during the quarter include a $310 million common stock debt and preferred solution for Synchronoss Technologies, a $300 million follow-on equity offering for Telos Corporation, leading AMC Entertainment's $587 million at the market offering in June, two separate private placements totaling $105 million for stronghold digital mining, whose S-1 was publicly filed earlier this week, and $100 million preferred stock offering for Babcock and Wilcox. In other parts of our institutional broker-dealer division, securities lending saw strong performance during Q2 with a focus on transportation, software, technology, special pharma, and therapeutic sectors. Our SPAC trading desk also continues to be active with a high level of new issuers coming to market. In equity research, we added three publishing analysts in Q2, proactively entering new verticals in gaming and cryptocurrency, and expanding our healthcare team. We remain committed to our research roots and continue to invest in resources to help our clients and partners best capitalize on proprietary small and mid-cap investment opportunities. To that end, next month, we will be hosting an investor conference in Santa Monica to connect our research company management teams with many of the country's best institutional managers. This event marks our return to in-person corporate access, albeit in a much smaller format and in compliance with CDC guidelines. Turning to wealth management. Q2 was the first full quarter since our acquisition of National Holdings. As Bryant noted, we continue to be extremely pleased with the quality of this team and its professionals. At the same time, revenue generation from our legacy Wealth business also continues to be strong. On a combined basis, our wealth management affiliates oversee approximately $32 billion in client assets. As we continue to work towards fully integrating our wealth management affiliates and enhancing our client service offerings, recruiting remains a key focus. Earlier this week, we announced the opening of a new branch location in Virginia with a new group of advisors joining the firm. This new branch stands to enhance our long-standing presence and relationships in Virginia and the greater Mid-Atlantic region. With our platform's continued growth, B. Riley has become a leading choice for top advisor teams looking for differentiated solutions to best serve their clients' needs. Turning to financial consulting. Revenue growth and momentum in our advisory services division continued in Q2. We've had success adding new service lines to our broader advisory business with the most recent additions being a risk and operations management group. Our compliance risk and resilience team was formed in January and has already contributed meaningfully despite being with the firm for very short time. This has been a synergistic addition to all of our service lines as cyber risk management, business continuity, and IT disaster recovery remain in high demand for customers across our enterprise. Overall, our Advisory business continues to perform steadily, while also serving as a leading source of internal referrals to other parts of our platform. And we are continuing to seek new hires in complementary businesses that can enhance our reach and lines of service. In retail liquidation, activity remains slow compared to our previous record levels. Several of our recent engagements have been primarily focused on existing client relationships. As the fundamental shift in traditional retailing continues to accelerate, we believe we are well positioned as purging of excess inventory and store lease rationalization will continue to be in a focus for retailers in the years ahead. In our real estate division, during the second quarter, we completed the sale of a retail property in Northern Chicago and the sale of Remington's 800,000 square foot manufacturing campus in Huntsville, Alabama, while continuing to work other ongoing projects. Finally, turning to principal investments in our brand segments. magicJack and United Online continued to perform above expectations, serving as an important contributor of recurring cash flow to our platform. We expect to obtain the necessary regulatory approvals to complete the second tranche of our investment in Lingo in the coming months. The addition of Lingo should meaningfully enhance results in our United Online and magicJack segment in future quarters. In our brand investments business, volume across all brands has been strong following a period of pent-up demand created by the pandemic. The Hurley brand has been performing as the number one top spot in specialty servicing for 18 weeks in a row. And Carissa Moore, one of Hurley's sponsored athletes, just won the first-ever Olympic Gold in Women's Surfing for Team USA at the 2020 Tokyo Olympics. Earlier this month, Walmart announced the addition of the Justice brand collection, 2,400 of its stores nationwide and to walmart.com for back-to-school shopping. With these exciting development, we are optimistic we will see continued growth in our brands business for the remainder of 2021. Finally, our principal investment team is managing several other minority investments as we continue to seek additional opportunities to enhance our recurring cash flow and maximize the return on our capital. In summary, and in echoing Bryant's comments at the top of the call, we continue to be confident and excited about our business. The success, momentum, and growing recognition of the platform has been very gratifying. However, we know there is always more to be done. With that, we'll now open the lines for questions and then, turn the call back over to Bryant for closing remarks. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Sean Haydon with Charles Lane Capital. Please go ahead.
Sean Haydon: Congrats on another great quarter.
Bryant Riley: Hey Sean.
Sean Haydon: Real quick on the wealth management, the operating income, were there any one-time items in the quarter that we should be aware of?
Bryant Riley: Phil, do you want to answer that?
Phillip Ahn: Yes, the only thing was sort of extraneous, although this is below the line, we did see there was a forgiveness of a PPP loan that they took out, but that's certainly below the line. So, nothing extraordinary outside of that.
Sean Haydon: That’s all I got. So, again, congrats and talk to you next quarter.
Bryant Riley: Great. Thank you for your support.
Operator: The next question comes from Brian Rohman with Boston Partners. Please go ahead.
Brian Rohman: Good afternoon. Thank you for my question -- questions. First question I had was following up on the previous person's query on the wealth management business. First of all, I'm just looking at the release, year-over-year, it goes from $15 million to $87 million, almost all of that is the acquisition?
Bryant Riley: Yes. The vast majority is the acquisition.
Brian Rohman: Okay. And then I had the same general question, which was -- it shows up that, that business, wealth management lost almost $4 million in operating income. What sort of operating margin do you think it normally should operate at?
Bryant Riley: Phil, do you want to start and provide a little bit more clarity on the operating income with those two divisions together?
Phillip Ahn: Yes, sure. The -- obviously, we're still going through some integration with National. I think, in general, when we acquired, wonder like it did take several quarters to get the operational performance in and around where we wanted it to be. Yes, so, I would -- there is some time that's going to take place, but I think -- well, I'll let Bryant sort of speak to the integration, but-- 
Bryant Riley: Yes. So, I would say, the way that we look at the business is, if you look at the B. Riley wealth business, which was chugging along, roughly $70 million, $75 million. That business has got itself up to like 15% EBITDA margins. National is going to be lower is because they've got an independent aspect to them. So they're a little bit lower margins. But that $200 million, $240 million should be like 10% EBITDA margins. And then, we should be able to get another $10 million in synergies. So you can just do the math there. Now that's probably a year out, but those are the kind of numbers we expect once we're fully integrated. And we're starting to see a lot of progress towards that and we're also seeing a lot of other benefits. So, we are seeing the National and the B. Riley wealth management retail team committing more and more capital to our deals and providing us more bullets when we go out and do bought deals and things like that. So, we're really happy with that investment and that integration so far. 
Brian Rohman: Okay. So, it's -- what you're saying is that the benefits of the deal will become more apparent down the road. Is that correct?
Bryant Riley: Yes, there are some one-time things in there. And yes, I think you will see the benefits of the deal -- every quarter, you will see incremental benefits to the bottom-line, but also just to the business. I mean I can't overstate how important it is to be able to have increasing distribution, particularly in our equity and debt deals, that's a really big advantage for us when we are backstopping deals and know that wealth management group is there for a chunk of that as well as obviously our institutional distribution. But you will see the quantification benefit every quarter going forward.
Brian Rohman: Next question. As you can't be an investment bank -- public investment bank and report earnings without talking about your backlog, and some of your brethren have talked about a little bit of a slowdown in investment banking, particularly capital raising, particularly in the SPAC space. Can you comment on your experience?
Bryant Riley: Yes, I mean we raised two SPACs last quarter, we'll do -- we've already raised one this quarter. I think we'll do two or three this quarter. But in terms of SPACs that we've underwritten that are out either as signed deals or looking for deals, that's obviously at an all-time high. And so there's a lot of backlog there as we have not recognized when a deal has been announced but not closed, we recognize the remaining fee when that closes. So, there's some backlog there. In terms of general capital markets, I -- there's -- we have not seen any slowdown. Our backlog is as strong as it has ever been, probably stronger. Now, it's capital markets, so those windows open and close, and they don't open for a long time. But barring anything there, I would say that you'll see in our deck. Obviously, there's meaningful market share gains, but we're really busy, and I think we'll continue to be busy, and we'll continue to pin a lot of deals as long as the markets continue to be fine. 
Brian Rohman: All right, that’s great. Thank you for taking my questions.
Bryant Riley: thank you. Appreciate it.
Operator: [Operator Instructions] Next question comes from Paul Dwyer with Punch & Associates. Please go ahead.
Paul Dwyer: Hey guys, good afternoon and thanks for the time today.
Bryant Riley: Hey Paul.
Paul Dwyer: Hey. Maybe to start -- your comment about the steady state business being about $135 million this quarter, could you just elaborate on kind of how you think about the steady state business' growth overall and kind of overall level of profitability that that provides to the firm?
Bryant Riley: Sure. So, I would -- I think we're around $125 million annualized EBITDA run rate on that steady business. Some is growing, so you've got a deal the advisory business, which we always call the old GlassRatner, you'll when remember we acquired them, and Appraisal. Some is declining, which is -- we still own United Online, magicJack are somewhat flat. And then, some is growing more than we anticipated, which is the brand side of the business. We commented on Hurley and Justice, but also the other six brands. Those things have bounced back meaningfully. So, you put all that together, I think, you have to think about it as steady EBITDA and steady revenues. On assets, we acquired at really good multiples, we'll add Lingo, which will provide another $15-ish million a year in EBITDA to us. We'll own 80% of that business when that gets approved, that's not in our numbers currently. So, the way we think about that is that pays a lot of our interest, it pays a lot of our overhead and allows us to have these other episodic -- and we always say that the book-to-bill is episodic. Obviously, it's not nearly an episodic as the liquidation business, it's most -- but that's how we think about it. And so we're really happy with that side of the business. We'll continue to try and find interesting opportunities that are -- they're not baked off, so proprietary to us. And we usually move really quickly, we have the infrastructure in place to run those businesses and I think, it's just a great way to manage the more cyclical sides of our business to have that steady cash flow.
Paul Dwyer: Yes, absolutely. And just what does the pipeline look like in terms of non-auction deals that the principal investments team can be looking at today? And what kind of size of deals are in the pipeline?
Bryant Riley: We have, I would say, four or five deals that are kind of actively being discussed, and they're all in the $25 million to $75 million kind of level. Those -- particularly, as they kind of fit within what we're doing, whether it's in the telecom side or -- those are types of acquisitions that you just don't have a lot of competition, especially with the flat businesses. And so our EBITDA multiple requirements [technical difficulty], we want to ultimately own those at three to five times. And it's here -- I think, the large you get, the more active you get, the more you see those deals to become the go-to group with those kind of deals. So, we're seeing a fair amount, nothing gigantic, though. I would say, Justice was a meaningful purchase for us, Lingo is a decent-sized purchase, Hurley was meaningful last year, but nothing super large.
Paul Dwyer: Okay. Okay, great. One follow-up question on the capital markets side. Can you just spend a little time reminding me on kind of the fixed versus variable cost structure of that business and then kind of how you think about protecting on the downside in case capital markets do slow down a bit, although, it doesn't sound like you're seeing that yet?
Bryant Riley: Yes. So, our breakeven has been the same for the last two years. So, you could say that's good or bad, right? What -- why aren't we growing more? Why aren't we adding more overhead to our -- to the capital markets side? And I would say to you that we had -- we've been doing this for 25 years, many of the people that manage our businesses here have been -- some of them, obviously, have been here 15-plus years, and we are positioned right. And so we added three analysts last quarter, I think we mentioned that. But we are a -- maybe this is because it started as a private company with a little amount of capital, we confirmed that with a lower fixed overhead and a higher variable. And so when times are good, you can look at that and say, Boy, I wish you'd paid salaries and bonuses because you probably get a little bit more margins. When times are tougher, you're happy about that. But we -- look, we love the fact that that majority of our bankers and our salespeople are making more money than they ever did. They deserve it, they are the engine that drives all of this and that variable model is the way we've always lived. And so we will stick with that. But at the same time, it blows me away that we are doing $60 million kind of quarters with the same people that we've had here for a long time and adding other valuable people. But I just think, it's a real testament to the quality of the people we've had here.
Paul Dwyer: Yes. Okay, perfect. Last question is on the balance sheet side. What else are you thinking about over the next two or three years here in terms of opportunities to lower your cost of capital?
Bryant Riley: Well, that's a tricky question because we have gone the baby bond market way, right? And we just love that product for us. It's -- there's -- it's unsecured. We obviously, just added a $280 million facility with Nomura at a rate in the 4s. Most recent baby bonds were 5.25. I don't -- my guess is that as we continue to get into the 5s with baby bond issuances and take out some of the 7s, I feel really good about that cost of capital. Now I -- we're not a bank, we don't have some of the -- we don't have some of the same benefits that others have, we don't have deposits. But the NIM that we get when -- money out to public companies, and you've probably seen some of those transactions. You're talking about 700% and 800% with fees. So would we like it lower and lower and lower? Yes. But we feel -- we're really excited about getting it into the low-5s, and we'll continue to just kind of be as aggressive as we can to get the lowest rate we can get.
Paul Dwyer: Okay. That’s it from me. Nice quarter again and appreciate all the hard work.
Bryant Riley: Thank you. Thanks for your continued support.
Operator: This concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Riley for his closing remarks.
Bryant Riley: Well, thank you, everyone, and thanks for joining us. And I know there's a lot of people from the firm on this call, and I said it in the commentary, but all of this is a testimony to the people that are here and the team that we've built and super thankful and appreciative and excited to continue this growth and report back next quarter. So, thank you and look forward to talking in 90 days. Go ahead, operator.
Operator: Thank you. Before we conclude today's call, I will provide B. Riley Financial's Safe Harbor statement, which includes important cautions regarding forward-looking statements made during this call. Statements made during this call about B. Riley Financial's future expectations, plans, and prospects and any other statements regarding matters that are not historical facts may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors should be aware that any forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors include the unpredictable and ongoing impact of the COVID-19 pandemic as well as the other risk factors explained in detail in the company's filings within the Securities and Exchange Commission. Please refer to these filings for a more detailed discussion of forward-looking statements and the risks and uncertainties of such statements. All forward-looking statements are made as of today, and except as required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether because of new information, future events, or otherwise. Thank you for joining us today for B. Riley Financial's second quarter 2021 earnings conference call. You may now disconnect.